Operator: Good morning. I would like to welcome everyone to the Jupiter Mines Q2 Call. Today, we have Jupiter Managing Director and Chief Executive Officer, Brad Rogers; and Chief Financial Officer, Melissa North, to provide a brief update on the second quarter of the 2026 financial year, and then we will open up for questions from callers. Thanks, Brad. Please go ahead.
Brad Rogers: Thank you very much, and good morning. Thanks for joining the call this morning. So we released our December quarterly to the market this morning, and I'll just provide, as usual, a few overview remarks, try and tease out what I think are the key points that are contained within that quarterly activities report. And then at the end of the remarks, I'll turn the line over to any questions. So those who have had the opportunity to review our quarterly will see that the second quarter of the 2026 financial year reflected another strong operating result. Sales and production both up quarter-on-quarter and in line with our full year targets. Unit costs in U.S. dollars slightly better as well quarter-on-quarter, and that was a great result, particularly because the rand against the longer-term trend actually continued to strengthen in this December quarter, which was obviously a headwind for USD reported costs. Cash also was steady quarter-on-quarter at quite healthy levels, notwithstanding we had the usual semiannual payment of taxes and royalties in the December quarter. So that was a good result as well. From a safety perspective, we unfortunately had 2 minor lost time injuries in the quarter. Both of those injuries were in the nature of slips and trips. One worker tripping over an exposed rock and spraining his ankle and a cleaner sustaining some lower leg injuries while slipping as well whilst conducting her duties. Both of them, as I said, lower leg soft tissue injuries and our team at site, as you'd imagine, is responding with appropriate mitigations and communications around those injuries, which unfortunately remain a risk in any mining environment. And so a lot of that is about remaining diligent about those risks and having proper lighting and those sorts of things. From an operations perspective, our sales for the quarter were 867,619 tonnes sold, and that figure was 4% up on the previous quarter and 27% up on the prior corresponding period in the previous financial year. Production also was quite strong, 840,688 tonnes, and that was slightly up quarter-on-quarter and 13% up on the prior corresponding period. But there was a lean towards high-grade ore production. So less low-grade ore production in the quarter, more high-grade ore production. Obviously, that sets us up for a good mix of sales in the forward-looking quarters. The high-grade ore production was actually 10% up quarter-on-quarter, whilst as I said, overall production was about 1% up quarter-on-quarter. Operating costs, as I mentioned a moment ago, were good. We're sort of in range and the costs were USD 2.24 FOB per dmtu for the quarter. And that's about where we were sort of guiding that we expected to be. However, we have had a strengthening rand, which is a major factor in reported U.S. dollar costs. And so actually being slightly down as we were quarter-on-quarter with our cost is a particularly good result in view of the strengthening rand. Land logistics were basically flat quarter-on-quarter. Mining was slightly down, 5% down quarter-on-quarter. And part of that was seasonal rain that we expect to see in the December quarter, and we usually see it around this time of the year. Manganese prices and market prices more broadly were quite supportive during the December quarter. As we sit here today, FOB spot for the grade of ore that Tshipi sells is $3.68 per dmtu. And at the end of the December quarter, it was $3.46. So we improved spot 30 September $3.36 to 31 December, $3.46 and today, $3.68. So we've seen a strengthening of manganese market prices through that period of time, and that's continued post quarter end, and I'll come back to why that has been the case for a moment. You'll see in the quarterly activities report that average realized prices were 6% up for the December quarter compared to the September quarter. Freight rates also slightly lower, USD25 per ton on 31 December, USD 23.40. Today we've been range trading for the last sort of 3 or 4 months in a reasonably tight range of about $23.5 to $26 a tonne, and that's where we'd expect to be or hope to be in this sort of market, so also quite favorable. Manganese ore stockpiles in China, which we've talked about are a good leading indicator for where prices might be going, hence, why we include a tracking of that particular metric in our quarterly activities report, remained at around 4.4 million tonnes of manganese ore at Chinese ports in stockpile today. We have been at around that level for much of the last 6 or 9 months or so. And so you'll see in our quarterly activities report averaging around that number, and it's still that number today at the end of January. You'll also recall in some of our previous communications that we have called out that the, call it, 5-year average preceding the last 9 months or so has been about 5.8 million tonnes of manganese ore at stockpile at port in China. And so that 4.4 million tonnes remains quite a bit lower than the recent average that we have tended to see. And that's also supportive given manganese prices have been a bit higher. And given over the last few months, exports of manganese ore have been reasonably elevated from some countries. That ore has been consumed by downstream alloy demand, which has been relatively robust for this last period of time. There's a few things going on there. The stronger Chinese yuan against the U.S. dollar obviously is supportive for USD reported manganese prices. So that's part of what's going on. There's also some newer renewable energy-powered alloy plants in China that have greater levels of efficiency, and that's also been supportive and we think why there's been quite robust downstream alloy demand recently. And then very recently, there's the usual pre-Chinese New Year stocking perhaps going on. So even though prices have been up and from Tshipi's cost position, we think reasonably supportive. We're quite happy of the trend and where they sit today. And at times, overall market supply has been reasonably elevated as well. That ore has been consumed in the market, and that's quite evident when you have a look at the levels of manganese ore at stockpile in China. So I think you'd say a balanced market at the moment, notwithstanding prices have ticked up quite nicely, albeit fairly gradually over the last month or so, the trend is pleasing. On to financials. Tshipi's EBITDA was down 19% quarter-on-quarter, and that was mostly due to FX losses with the strengthening rand, as you can imagine. Whilst it's down quarter-on-quarter, the actual dollar figure isn't that material. If you have a look at the EBITDA dollars, it's sort of within the range of where Tshipi trades in this sort of pricing environment. Cash at Tshipi, as I mentioned earlier on, basically steady quarter-on-quarter and at healthy levels, around AUD 137 million at the end of December, and that's down 2% from the from the end of the September quarter, but we did have to pay taxes and royalties in the period. It's a semiannual payment. So there was good operating cash generation, and that resulted in good ending cash at Tshipi, notwithstanding the payment of taxes and royalties in the period. And cash at the Jupiter level also basically steady quarter-on-quarter. You will have also seen this morning perhaps that we updated the market referencing a market announcement by Exxaro yesterday in South Africa that Exxaro is now unconditional in respect of the acquisition of certain manganese interests from Ntsimbintle Holdings and from OM Holdings. And so what that means according to the Exxaro announcement, as reflected in our announcement this morning is that Exxaro expects to complete the acquisition of those interests on or before the 27th of February, so a little under a month away. On that date of completion, what that means from a Jupiter perspective is that Exxaro will join Jupiter as our co-investor at Tshipi under the same shareholders' agreement that's always been in place there. Exxaro is just buying into the same shareholders' agreement and taking out the existing shareholders in Ntsimbintle and OM Holdings. So that's what it means. At an asset level, Jupiter continues with Exxaro from that date to exercise joint control over the asset and the way that the asset has been governed very successfully over the period of its operation will continue to be the case. At Jupiter, what it means, as summarized in our announcement is that Exxaro will join Jupiter as our largest shareholder. They will be acquiring 19.99% of Jupiter's shares from Ntsimbintle Holdings, and that trade will complete on that same date, 27th of February or earlier. That's also unconditional. The price that Exxaro has agreed with Ntsimbintle to pay for those Jupiter shares is in rands, ZAR 3.69 per share. And obviously, it's exposed to the foreign exchange rate. But as an indication, the Australian dollar price today is a little over $0.33 a share, and that compares to our trading share price today when I last looked at about $0.285 per share. So in summary, just bringing it back before I open the line for questions, strong operating result from Tshipi, sales up, production up, unit costs slightly down and cash at steady, healthy levels. Our interim dividend 31 December will be decided in the next month. You'll be familiar that it goes through a 2-step process of Tshipi first recommending a dividend to shareholders. And once we have that, Jupiter will communicate that to the market. So that's also to come in the next month. We have seen and we continue to see a relatively supportive market in terms of manganese prices, levels of manganese ore at stockpile in China and also freight rates. So supportive through the December quarter relative to the preceding quarter and continuing that trend post quarter end. And then finally, Exxaro communicating that important news yesterday and relevant for Jupiter in the ways that I've mentioned a moment ago that in a little under a month, they will be joining Jupiter as a co-investor at Tshipi and also joining Jupiter as our largest shareholder. And as we've continued to say, Jupiter is very welcoming of that development. We see that as being really supportive in terms of value growth at Tshipi, but also we share a view with Exxaro around growth through consolidation in the Kalahari. And so we're looking forward to welcoming Exxaro as a co-investor and working to them, given that shared view strategically. Hopefully, that overview has been useful. I'll turn the call open to see whether there are any questions on the line.
Operator: [Operator Instructions] Your first question comes from Jon Scholtz with Argonaut.
Jon Scholtz: Quick question on Tshipi. Obviously, it has its own management structure within place. With Exxaro coming in, has there been a change to that management structure? Or is it all running as per normal?
Brad Rogers: Jon, thanks for the question. No change at all. The same team that's been in place there will continue. And there is, as I mentioned, no change in the shareholders' agreement and the way that Tshipi is governed, and that also pertains to key management appointments. So the way that it is run, where both shareholders at Tshipi need to agree on important matters like key management personnel, will continue to be the case. So there are ways that we absolutely foresee that Exxaro can add value to Tshipi's operation and Jupiter will be absolutely supportive of that. And an obvious one is around group procurement prices, things like that. But the key point here is that the partners need to agree. That's been the case to date, and it will continue to be the case. And to answer your question directly, there's no change in the management personnel, and there's no change that we're anticipating. There will obviously be a change at the Board level with Exxaro people coming in at completion, replacing previous Ntsimbintle appointments. But as you'd also imagine, in anticipation of this change coming, and we'll provide some more information at completion, we are working closely and well both with Ntsimbintle and with Exxaro to make sure that's a smooth change. But the operation itself will continue to be led by Ezekiel Lotlhare, who's been doing a great job up until now. And with his team, they will be continuing unchanged.
Jon Scholtz: Excellent. And then I guess I get they keys at the end of Feb, but there's a Board meeting before that to discuss the distributions, which will lead into Jupiter's first half divi as well. So that will all be in the existing structure with Ntsimbintle instead of Exxaro. Is that correct?
Brad Rogers: That's correct. Yes. So that's -- as I think I might have mentioned when we first talked about this deal in May of last year. Dividends, as is ordinarily the case in this sort of situation are a permitted leakage. And so since any dividend that's declared by Tshipi will be a 31 December pre-completion matter, that will be something that's decided within Ntsimbintle just as every other dividend has been.
Operator: [Operator Instructions] Your next question comes from Adam Baker with Macquarie.
Adam Baker: Jon got a couple of my questions there. But wondering if you could just touch on the manganese market at the moment, noting that you're seeing spot prices increase to $432 at the end -- towards the end of January. And you noted the stockpiles from China are pretty low at the moment. Do you think this positive momentum can continue throughout the year? And what else are you seeing on the market side of things?
Brad Rogers: Yes. Adam, thanks for your question. So I'd say that downstream demand has been a bit more robust than market participants probably anticipated, and that's been a good thing. And it's meant that as I made in my opening remarks that even though supply at times from major market participants, including ourselves, has been quite high through that period of time, the market's has just eaten it up. And the clear evidence of that is that the stockpiles have traded in this very tight range of 4.4 million tonnes from about April, May of last year. So most of the forecast that I look at are forecasting the usual sort of ups and downs that you might see. And I mentioned that right now, you would typically see some restocking or stocking ahead of Chinese New Year, and that's a temporary demand factor, for example. And then you can have that easing off post-Chinese New Year as the market consumes that manganese ore. It's an open question around whether that's actually going on right now. It is a typical seasonal effect. But I think if you take out those normal slight seasonalities, most forecasts that I'm looking at have been revised upwards from where they were previously. And part of that is the factors that we've mentioned, stronger Chinese yuan is supportive. Lower manganese ore stockpiles in China, also supportive. There has also been some supply impacts which have lowered supply out of certain countries over the last 6 months or so. So that's an open factor. There's some conjecture about downstream silica manganese alloy stocks, although we don't have any data on that. I think some people think that there is unidentified, unquantified stocks of alloys downstream beyond the plants themselves, perhaps in factories. So that's a potential downside factor. But I think if I boil all of that up and have a look at the market analyst forecasts for the next 6 months or so, they're higher than they were previously, and that's partly informed by the factors that I've mentioned and partly informed, I'd say also that prices that have prevailed and have continued to tick up have outperformed those previous forecasts. So I think people have gone back and reviewed that. We, with our level of costs are pretty happy with where things are right now. CIF and FOB prices have gone up. And although there's been certain months where ore supply has been higher, it hasn't gotten overall on average out of control. So it feels reasonably balanced both on the supply and the demand side, and you've got some FX factors factoring in. And then shipping rates have been quite good as well. They've traded in a desired range, I'd say, but in a fairly tight range as well. So yes, we like the trends. We like where it sits right now. And I'd say there's on balance, probably supporting factors for around about where we are right now, but also noting you do have some temporary factors of pre-Chinese New Year, post-Chinese New Year, et cetera, but the overall trend is more positive than perhaps people would have thought 6 months or so ago.
Operator: [Operator Instructions] There are no further questions at this time. I'll now hand it to Brad for closing remarks.
Brad Rogers: Thank you very much. Thanks all for your participation today. Hopefully, those remarks have been helpful. And as I said, it's a very strong operating quarter for December, helpful market as we've just discussed and the important development that we've all picked up on in relation to Exxaro as a fairly near-term completion as communicated by the company yesterday. So thanks again for your time. Look forward to talking to you soon.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may now disconnect.